Operator: Ladies and gentlemen, welcome to the Schindler Full Year Results 2025 Conference Call and Live Webcast. I am Valentina, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Lars Brorson, Head of Investor Relations. Please go ahead.
Lars Wauvert Brorson: Thank you, Valentina. Good morning, ladies and gentlemen, and welcome to our full year 2025 results conference call. My name is Lars Brorson. I'm Head of Investor Relations at Schindler. I'm here together with Paolo Compagna, our CEO; and Carla De Geyseleer, our CFO. As usual, Paolo will discuss the highlights of our 2025 results and our 2026 market outlook, and Carla will take us through the financials. After the presentation, we are happy to take your questions. We plan to close the call at 10:30 local time. And with that, I hand over to Paolo. Paolo, please go ahead.
Paolo Compagna: Good morning, everyone. I'm pleased to be back to report on our '25 results. But today, before I dive into the results, let me take this opportunity to take a step back and reflect on the journey over the last few years. You have seen we have titled our first slide, operational recovery completed as we see 2025 as marking the final year of our operational recovery. For those of you who have followed us for a while, you will recall that in '22, we faced severe supply chain challenges, steep declines in many of our major new installation markets and a significant drop in earnings and cash flow, and the company had to perform an emergency landing. Four years on, after some very difficult decisions taken by our majority shareholders and the Board at the end of '21, and thanks to the hard work and dedication of nearly 70,000 employees, I'm pleased to say that we have emerged from this period as a stronger and more resilient company. Well, one could say Schindler is back. We have made clear structural improvements to our supply chain. We have enhanced our product competitiveness and innovation and strengthened our global footprint and maintenance portfolio, including exiting smaller markets where returns were not aligned with our objectives. And from a financial perspective, the company has delivered 12 consecutive quarters of year-on-year EBIT margin improvement with high cash conversion. That is something we are really proud of. Now looking ahead to '26 and beyond, accelerating growth becomes our key priority, but without compromising on our commitment to the continuous improvement in operating margins. This I'd like to underline. An important part of the strategy is the commercialization of innovative standardized New Installation and Modernization products and our industry-leading digital offering for our Service customers. More on that shortly. Now let me touch on the highlights of 2025. Firstly, we delivered on our promises by achieving our financial targets. Growth was a little softer than we would have liked, but it was another year of a strong operating performance with a reported EBIT margin coming in at 12.6% versus our initial expectation of around 12%. I'm pleased to see that the efficiency initiatives launched over the last few years yielded good results, something we will build on in '26. Second, I'm comfortable saying that we are back in Modernization. I was very open with you 2 years ago that we were behind and having to catch up. Today, I believe we are increasingly leading in terms of competitiveness and momentum of our product portfolio, and I'm very optimistic about '26. In '25, Modernization orders were up 19%. And importantly, revenue was up 12% as backlog execution accelerated in the final quarter of the year. I'm confident that we can continue to expand our capacity and execute successfully also in '26. Third, a word on product momentum. We see signs that our efforts on product portfolio in the last years are starting to yield commercial results. And this will support us executing our strategy to accelerate profitable growth. The rollout of our standardized modular platform has been completed according to plan, positioning us well for NI recovery in our key markets. The rollout of our U.S. mid-rise product has clearly exceeded our plans in '25 and sets us up, I believe, for a continued market share gain in '26, too. And in Modernization, we continue to industrialize our operation and standardize our product portfolio. We are seeing very good traction with our standardized packages, and it is not only driving growth, but also enhancing our competitiveness and supporting our journey towards higher profitability in Modernization going forward. Fourth, despite the pressure in '25 from lower NI conversions and our decision to be more selective in recaptures, we continue to make good progress on our maintenance portfolio, which was up mid-single digit in value terms in '25. I believe we have an industry-leading retention rates on our portfolio, but I still see potential for this to improve. That will come in part as we leverage connectivity to improve the offering for our customers and to drive incremental digital revenue streams. Fifth, we delivered on operating cash flow of CHF 1.5 billion for the year, a second year of very strong cash conversion. Carla will elaborate on this. But this strong cash flow allows us to invest back into the business whilst also accommodating our shareholders with an increased payout. And I'm pleased to announce that the Board has proposed a dividend of CHF 6 for '25 as well as an extraordinary dividend of CHF 0.80. Let me touch on our China operations. I told you at the beginning of '25 that we had to take some tough decisions in order to realign our organization and set us for the future growth opportunities, especially in Modernization and Service. Now we are starting to see encouraging signs of operational improvement as we enter '26. A big thank you to our Chinese colleagues for all the effort in '25. Finally, a word on sustainability. We continue to make a good progress on our agenda. In 2025, Schindler's sustainability management system was recognized with an EcoVadis Platinum medal, ranking Schindler in the top 1% of the more than 150,000 companies worldwide. In addition, Schindler was once again included in the CDP A list of companies operating according to the highest environmental standards. So let us now look back at the global elevator and escalator market development in '25. Turning to Slide 4. Focusing on our updates on what we said in October after our Q3 results versus the year ended. First, we saw a strong Q4 in the U.S. new installation market, while demand in Brazil also developed slightly better than anticipated. Therefore, our assessment for Americas in 2025 has been revised to low single-digit growth from earlier flat. Second, we witnessed a strong finish to the year in India and Southeast Asia, lifting the Asia Pacific market growth comfortably above 5%. And finally, the Service and Modernization markets saw a good development in line with our expectations. So how did we perform in this market environment last year? Turning to Slide 5. First, in Service, our maintenance portfolio units continued to expand with the strongest growth in Asia Pacific, excluding China. In Americas, we saw a modest decrease as indicated already in October. This was a result of our increased selectivity when it comes to recaptures that we decided to pursue as well as from softer conversions. Given the normally longer lead time, especially in North America, the decline in our NI orders from 2023 was still having some impact last year. In Modernization, we have been able to maintain the strong momentum and saw double-digit order growth across all regions, except for Asia Pacific, excluding China, due to a lower level of large project bookings in both Q4 and full year. China was the standout with growth of close to 50% as we benefited from the massive equipment renewal program with well over 100,000 elevators replaced throughout the country. In New Installations, our global order volumes declined by over 10% due to China, where, as mentioned before, we have been repositioning our operations to be ready for capturing future growth opportunities. In the rest of the world, our NI orders grew mid-single digits, driven by solid growth across the Americas as well as in Asia, excluding China and notably in India. Now moving to our market outlook for '26 on Slide 6. We expect the Service markets to continue to expand across all regions with the lowest growth rate in the Americas and the highest in Asia Pacific, driven by India. The Modernization markets will continue to see robust mid- to high single-digit growth across the world. In China, the so-called bond program is expected to continue on an even larger scale, and we currently estimate another double-digit growth for the Chinese market also in 2026. In new Installations, we anticipate the global market to decline by more than 5% due to China, where the market is expected to suffer another contraction of more than 10%. While key real estate statistics saw double-digit declines with home starts by floor area falling around 20%, and this is now following at 3 years of 20% plus declines and also to be considered the higher tier cities, which earlier in the year performed relatively better than smaller cities, deteriorated sharply, especially in the final quarter of '25. Across the EMEA region, we expect good development in the Middle East to be coupled with important German market returning more firmly to growth as already evident from the double-digit pickup in multifamily building permits based on latest data available. Significant state support is aimed at easing the chronic housing shortage and stimulating investment, including increased funding for social housing, fiscal incentives such as the 5% aggressive depreciation for new rental residential buildings as well as the so-called Bau-Turbo initiative to fast-track housing projects. And we anticipate Asia Pacific, excluding China, to continue to expand by high single digit with broad-based growth across the region, led by India and Southeast Asia. With that, let me turn over to Carla to walk us through our financial results in more details.
Carla Geyseleer: Thank you very much, Paolo. Good morning, everybody. So I propose we start with Slide 8. So that is our usual summary slide of the quarter compared to the last 4. So overall, Paolo mentioned it already, very pleased with the progress that we have made on the profitability over the recent years as well as our continued high cash conversion. I also acknowledge, as Paolo mentioned, that there is room for improvement in terms of growth, something I will touch on shortly when we discuss the '26 guidance. Firstly, reflecting on '25, Q4 marked the 12th consecutive quarter of year-on-year improvement for operating margins. So our reported EBIT margin was up 180 basis points versus quarter 4 in '24 and our adjusted margins up 100 basis points. For the full year, our reported EBIT margin landed at 12.6% versus our initial expectation for the year of 12%. So a very satisfactory performance, and I'm pleased to see that the efficiency initiatives launched over the last few years yielded good results in '25. Secondly, we had a strong end of the year for operating cash flow. Quarter 4 came in at CHF 523 million and the full year at CHF 1.5 billion, just shy of what we have seen the year before. Finally, our net profit continues to increase versus last year in both absolute and margin terms despite the decline in financial income as well as the FX headwinds. Now moving to our order intake development on Slide 9. You heard Paolo saying that our global New Installation order volumes declined by over 10% in '25. In quarter 4, our NI order volumes declined by over 15%. So clearly, a soft quarter for our New Installation business, driven primarily by China, down mid-30s in the quarter as we remain -- and we remain committed to our strategy of pricing discipline and as we continue to reposition our operations here towards future growth opportunities. So even though China made up less than 10% of our group order intake in '25, it continues to be a burden to our growth. We also had slightly softer development in the quarter in some of our Southern European and Middle Eastern markets, partly due to fewer larger projects here. So overall, a quarter with limited organic growth as a decline in New Installation almost fully offset the growth in Service and Modernization. Now if you look at the full year '25, order growth in local currencies came in at 3.1%. Excluding China, however, order intake grew 5.4%. So our growth in '25 was very much driven by Modernization, which grew 19% for the full year and 15% in quarter 4. Growth here was broad-based in '25 with strong double-digit growth across our 3 regions: EMEA, Americas and APAC, with China clearly a standout, up close to 50% in '25, driven by the government's bond program. Service orders grew mid-single digits organically in which combined with the strong MOD growth offset the decline in New Installations. Now finally, a word on currency. So the FX translation headwinds amounted to more than CHF 450 million on our order intake in '25 due to the strength of the Swiss franc versus major currencies, notably the dollar. And it's worth noting that these FX headwinds are not abating. Rather based on current FX spot rates, they will intensify in the short term. Now in terms of order backlog, it was up 1.2% in local currency at the end of '25, driven by Modernization, which was up double digit. Our backlog margin was stable sequentially in quarter 4, but still clearly up year-on-year. Especially the backlog margin in our U.S. business was stable sequentially in Q4, and we are starting to make progress on repricing our backlog here for the tariffs implemented in '25. We expect these repricing measures to continue over the coming quarter. Now moving on to our revenue development on Slide 10. The organic growth, both in the quarter and the full year, was driven by Modernization, up 22% in quarter 4, 12% for the full year '25. You will recall that we spoke of some operational challenges during '25 in terms of scaling up our delivery capabilities in Modernization, so we were pleased with how the year ended. And going forward, we continue to make good progress on scaling our capabilities and driving more efficient backlog execution. Now outside of Modernization, revenue in New Installation was down high single digit in '25, driven by China, which was down mid-20s, whilst other regions were down low single digit for our New Installation business. Service was up mid-single digit in '25. Now moving to Slide 11, operating profit performance. Let me say that I'm proud of what the organization achieved in '25 in terms of efficiencies. We have spoken over the last few years of shifting the corporate culture towards a mindset of continuous improvement, and we are really starting to see that more clearly, which is driving our financial performance. We delivered 12.6% reported EBIT margin in '25 and 13% in the final quarter of the year. And you can see the operational improvement of CHF 35 million in quarter 4 and CHF 163 million for the full year. That reflects primarily good progress in SG&A savings, but also supply chain and procurement savings, which continued to deliver in '25. Price and mix were contributors, but less so than efficiencies. One important operational achievement in '25, which I want to flag was the implementation of the ERP system in our U.S. operations. The U.S. is now fully integrated with the rest of our global organization. And as we complete this integration, leverage our global ERP platform, this should yield further operational efficiencies. Now restructuring costs in '25 came in at CHF 54 million, slightly lower than the up to CHF 70 million we had guided to initially, partly as some of our initiatives shifted into '24. So that meant that restructuring costs were below the level of '24 and hence, a small positive in the EBIT bridge. Now moving to the net profit. You can see that net profit grew to CHF 277 million in quarter 4, reflecting a 9.9% margin, close to CHF 1.1 billion for the year with a margin of 9.8% despite lower interest income and onetime financial gains in last year's period. So I'm very pleased with that result. Now moving to the operating cash flow on Slide 13, which reached CHF 523 million for the quarter and CHF 1.5 billion for the year, just shy of last year's exceptionally strong performance. Again, the uptake in our operating earnings drove the strong performance in '25, whilst net working capital improved, but less so than in '24 and hence, a headwind in our year-on-year bridge. This moderation in net working capital came partly as a result of less down payments for our New Installation business in '25. Now moving to Slide 14. So happy to share that the strong cash generation in '25 also allows for further distribution to our shareholders. So I can report, Paolo mentioned it already, that the Board has proposed an ordinary dividend of CHF 6 per share for '25 as well as an extraordinary dividend of CHF 0.80, reflecting a payout ratio of 72%. This higher dividend should also be seen in light of our solid balance sheet with our net liquidity position further boosted in '25 from the reduction in our Hyundai stake and the lower interest rate environment in Switzerland as well as our continued focus on delivering a more competitive yield for our shareholders. Now let me also mention a word on the share buyback program, which we launched in November '24. And this program has been running according to plan with the total number of shares, both registered and participation certificates bought back during '25 amounting to over just 700,000 shares for an amount of CHF 200 million. Now before I move on to discuss our '26 guidance, allow me a moment to zoom out a bit to give you a bit of a broader perspective on our financial performance. So if you look at the bottom 3 charts on this slide, I think you'll appreciate the quality of our business model. Cash conversion and return on capital compared to most other industrial sectors, both are high and stable. I'm very pleased to see the progress that we made since '22. That means that our balance sheet continues to strengthen, ending the year with a net liquidity of CHF 3.9 billion. Now this cash compounding wouldn't be possible without a stable and a growing top line. And as you can see from the top 3 charts, our long-term growth level is really healthy, led by a strong Service growth and with a balanced regional exposure. I think that is very important to remember at a time when we and the broader industry go through a bit of a softer patch in terms of growth. Now being a Swiss company has also meant facing significant currency headwinds over the past decade with FX shaving off over CHF 3 billion cumulatively of our top line over the last 10 years. Now moving towards the end and giving a bit of perspective on the '26 guidance. So for this year, we expect to achieve low to mid-single-digit revenue growth in local currency and an EBIT reported margin of 13%. As Paolo said, we are looking to accelerate the profitable growth and believe we have the right strategy to do so. In terms of revenue growth in '26, we expect to see continued strong growth in MOD, up double digits in local currency in '26, whilst New Installation should start to stabilize, consistent with our market outlook of recovering new installation markets ex China. But of course, with some lead time before that impacts our revenue. Going forward, in '26 and beyond, we also see an opportunity to complement our organic growth with inorganic initiatives across key strategic markets. Looking back over the last 3 years, we acknowledge the contribution from M&A has been lower than usual as our efforts have been more internally focused. But going forward, with the benefit of a sound financial position, I expect us to increase the pace of selective bolt-on acquisitions. Now as for the margin guidance of 13% in '26, it's very much driven by continued productivity improvements, increasingly from field efficiency. We expect an acceleration here to offset a moderation in procurement and SG&A savings such that we can achieve the same overall level of incremental savings in '26 as we did in '25. Now let me touch on the midterm margin guidance, which we will update later in the year. But let's be clear, we continue to expect a continued improvement of current levels over the midterm. One important difference to '25, however, will be the impact from mix. As you know, we have benefited significantly over the last few years from positive mix as our Service business grew strongly, whilst New Installations declined. But as our New Installation business expectedly starts to stabilize and Modernization grows strongly, the margin tailwind from mix will neutralize in '26 or perhaps even turn modestly negative. And finally, in terms of restructuring costs, we expect up to CHF 60 million in '26 on a par with the level in '25 and still burdening our reported EBIT margin. Now a word on tariffs, which I believe we have managed well in '25. As I mentioned, with the U.S. tariff costs now reflected in our backlog, we will continue to work hard at mitigating the impact, including making price adjustments to offset the impact. In terms of the annual gross P&L impact from tariffs, we estimate that to be around CHF 18 million based on current tariff levels, so lower than the initial estimate of CHF 33 million, which we provided to you in April last year. Again, we expect to offset most, if not all, of that with pricing and cost mitigating actions. So to conclude, let me end by thanking together with my colleagues in the Executive Committee, our close to 70,000 employees across the globe for their tremendous efforts in '25. And as we start out in '26, I believe we are in a great position to execute on our strategy, which we look forward to sharing with you at our upcoming Capital Markets Day. And with that, I hand back to Lars.
Lars Wauvert Brorson: Thank you, Carla. Yes, as Carla mentioned, let me remind you of our Capital Markets Day scheduled for the 3rd of June this year at our headquarter here in Ebikon in Switzerland. We look forward to seeing as many of you as possible here on the day. Now with that, Paolo and Carla are happy to take your questions. In the interest of time, please, can I ask you to limit yourself to 2 questions only. And with that, operator, please, let's take the first question.
Operator: [Operator Instructions] The first question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: I will take two, but I'll take them one at a time. The first one in terms of your order organic growth rate, it seems significantly lower, I think, than some of the peers that we have seen reporting recently. You mentioned China, but some of them also have pretty big China businesses. You mentioned large projects. Can you give us a little bit more of a color? Was it unintended, you didn't take some of those large projects. Did you lose some market share for some other reasons? Just breaking down the competitive landscape context to understand this lower number than peers?
Paolo Compagna: Well, there's a very simple answer to a complex question. There are 2 main reasons for the development of our OIT, which you see. Number one, yes, China was down for us. And this we have communicated. One reason is also the adjustment in structure we have initiated last year. We talked about it was mid of the year, and this kept us quietly busy till end of the year. So yes, in China, for us, it was kind of expected that we would take less of the market than possibly, I don't know, our competitors. There's a second and rightly so, you said, a second momentum, which had an impact on our OIT, and it is the deliberate, more selective approach when it comes to large projects. And here, I'd like to be very clear. We have to separate, let's say, the mass business in NI, residential, commercial and selected large, large projects, which -- we shared this in Q3 and also over Q4, we were very selective in also key markets not to take things which would feed what we call the boa constrictor, you remember, 3 years ago once again. And both had the impact, which you see, especially in NI.
Daniela Costa: Got it. And then the second question is just on margins. So you've hit the 13%, and you've exceeded what you've expected earlier in 2025. And I think in the press release, you call it that the operational recovery phase is completed. I believe some time back, you talked about getting your margins over the long run to best-in-class peers, which are still a bit higher. So should we interpret this that the route to get there is just more dependent on just operating leverage? Or are there still any idiosyncratic actions? Just how do we read this operational phase is completed and the ambition to get to best-in-class peer margins over the long run, how do we get there?
Paolo Compagna: Yes. So my statement is clear. The operational recovery, which we started mid of '22, this we see as completed as we gave ourselves a target, which was also shared with the market, and we aim to be there in the course of this year finally. So hence, bear with us until we meet at our Investors Day in summertime, where we will then share with you also what are our next steps and plans. But as Carla mentioned before, very clearly, and I said it before, our intention, our plan, our commitment is to continue a journey of margin expansions while we accelerate growth is what we internally call now '26, the profitable growth agenda, which then we will share more details in June when we meet. But thank you for your question. It's very important to be mention here and today that the journey is not an end. We have just moved now from one phase to the next. But yes, the recovery we started. Remember, factories, key markets, we shared this all with you. This we see as completed.
Operator: Next question comes from Vivek Midha from Citi.
Vivek Midha: I have one question and one follow-up, please. On the order intake, still a similar development to the third quarter on the Americas Service business, the slight decline in the unit growth. Just thinking ahead to 2026, is this something we should expect to persist through the first half of 2026, given your continued selectivity, maybe some lingering effects from the weaker 2023 NI order intake. When does this start to fade out in your view, in your orders?
Paolo Compagna: Vivek, we shared in Q3 the impact of our strategy, especially on portfolio selectivity in recaptures, right? These are recoveries from the market, which we don't intend to change. However, the soft contribution from NI conversions from '23, this we expect to be over in the course of this year. So hence, to your question, we would not expect the same trend continuing in '26.
Vivek Midha: Understood. Just following up on that. When you say for 2026, so should we already expect that to be visible by the first quarter?
Paolo Compagna: That's a valid assumption. Now Q1 is always -- I think Q2, Q3 is where we should see a change in the trend in the U.S. market in portfolio for us.
Vivek Midha: That's very clear. My other follow-up, if I may, is on the 2026 margin guide. How much are you assuming as raw material or commodities headwind within your guidance?
Carla Geyseleer: Thank you for that question, Vivek. Of course, we will see some headwinds when it comes to the raw materials, especially in the copper and aluminum, also to a certain degree, steel in the U.S., but that has all been included in our guidance, yes. So we consider that.
Vivek Midha: Okay. Understood. Do you have a number? Could you maybe quantify that for us, please?
Carla Geyseleer: Yes. I mean this could go up to CHF 15 million, even CHF 20 million depending on the scenario that will pack out, yes.
Operator: The next question comes from Andre Kukhnin from UBS.
Andre Kukhnin: I'll start with one on the growth guidance, the low to mid-single digit. You've got 3% orders growth in 2025. I guess that underpins the lower end of the low to mid-single digit. Could you just talk about what kind of variables are out there? And how do they need to evolve for you to land in the higher end in that kind of mid-single-digit mark for 2026, please?
Paolo Compagna: Andre, if I look back to '25, the order intake growth was a mixed picture between what we could have in China, which was, as I shared before, lower than expected. And I must say, in the rest of the world, our growth was significantly higher. So now looking to '26, your question is how confident can we be to get to a higher growth rate? And why can we talk about profitable growth? The answer is very clear. Outside China, and allow me to do this separation for all transparency, we expect to further grow a bit higher than last year. And in combination with a little recovery in China, this would lead to the guidance we have shared this morning. So we are quite confident that we can get to OIT growth we have communicated. So a combination of China little recovery and further expansion outside of China.
Andre Kukhnin: Great. And my second question is kind of a follow-up, but I just wanted to see if we could build a couple more pieces of the profit bridge for 2026. Carla, could you help us with how much was the mix help in 2025 that you now guide to be neutral or slightly negative? And also for Service growth for 2026, what would you anticipate compared to the mid-single digit in 2025?
Carla Geyseleer: Look, I mean, first important, I would say, contribution will come also in '26 from the efficiency. So that will continue. And I clearly outlined that. So it's not because, let's say, procurement and SG&A saving and supply chain savings are maturing that we will see less incremental because, obviously, it is our intention to monetize more on the other efficiency, mainly in the New Installation, Modernization and to a certain degree also in the Service business. So that is definitely one important element. The other important element is that we see also more stable markets when it comes to pricing, especially in NI and MOD and I'm really talking about outside China. So that goes, of course, hand-in-hand with the recovery, although, I mean, a gradual recovery that we see in some of our key markets. So that definitely will also play a role. In terms of mix -- well, in the overall margin uptake, we said always, well, in some of the prior years, it could have gone -- it was around 1/3 of margin uptake. We are fully aware of that. So we consider that, that full neutralizes actually in 2026. It could be even, as I said, slightly negative depending then on how the growth of the Modernization goes and the recovery of the New Installations.
Operator: The next question comes from John Kim from Deutsche Bank.
John-B Kim: Two questions, if I may. Can you comment on your Modernization order book versus capacity? I know in Q3, there were some issues on kind of throughput and delivery. I'm just wondering where you are on that journey. And then the second question, just a clarification around the tariff number. So CHF 18 million, is that a number we should be using in our bridge? Or should we think about that against the backlog, i.e., more than 1 year?
Paolo Compagna: John, let me elaborate on MOD, which is a very good question. As last year, and I was saying before, you remember, we had to catch up on Modernization growth, which now in '25, we could do. And as I said, we intend to continue in '26. If we look at the execution, which is nothing else than the translation into capacity to execute the backlog, we could accelerate throughout '25 as we were able to build up resources in almost all key markets. And we continue to do so. Hence, as of the top line contribution, the execution is supposed to continue to accelerate. And our resources, which you say is capacity, will be continuously adjusted. However, for the backlog execution of '26, we are quite already prepared. But we continue to invest as we expect, as I said before, Modernization also beyond '26 to be a significant business driver. But for '26, the resources are almost there.
Carla Geyseleer: John, Carla, I will take the question on the tariffs. The CHF 18 million that I referred to, that's actually the gross impact. So as we are going through the usual mitigation measures, I expect very little to impact our P&L.
Operator: The next question comes from James Moore from Rothschild & Co Redburn.
James Moore: Carla, I think I've got one for Paolo and one for Carla. Maybe product momentum first, if I could. And just going back to your comments, Paolo, in terms of the standardized modular platform rollout and also the kind of standardized MOD packages. Is there any way you could say what percentage of the way through the rollout we are for NI and MOD? And what proportion of revenue in '25 was already attributing to the new standardized? And what you'd expect it to be when it's all rolled out and when you think you get to that point? I guess that's the first question. And maybe I'll come back with the second.
Paolo Compagna: James, now connection was a bit weak. Is this about the level of standardization.
Carla Geyseleer: It's very -- you are difficult to understand.
Paolo Compagna: We got it. It's about the level percentage of standardized solution, right, within NI, right?
James Moore: Yes, If I -- just to repeat, so you can hear it. Just if you could say what proportion of revenue was standardized in '25 for NI and MOD? And what you think it will be when you get to the end of the journey and when that is?
Paolo Compagna: Okay, very good. So we've got -- actually in our own program, we have progressed, I would say, NI, more than the half. In Modernization, we have to separate between full replacements and partial replacements. In the full replacement, we have a very high level of standardized solution already. In partial replacement, we are already 50% of it, and it's continuing to increase. Second part of your question, by when do -- or what could be the ultimate target of standardization in both businesses? Well, we would love to see one day in New Installation, a standardization level of 85%, 90%, one could say, and similar one day Modernization, while admitting for everyone to remind that Modernization is also due to the complexity -- we were talking about this last year, remember, of the complexity of the existing portfolio, which makes it much more difficult to get to a high level of standardization. So here, I think the whole industry is working hard to get to this level, also to have 80% plus of standardization will take longer. But ultimately, it's what we have to get to.
James Moore: Very helpful. I wondered if I could ask about margin mix in 2 dimensions, really. Just behind the 130 basis point expansion in your adjusted EBIT margin in the full year, could you provide some qualitative color on margins by type and region? I guess, would it be possible to say if NI, MOD and Service margins all expanded? And if you could rank them, that would be great. And I'm trying to avoid asking for a number. But equally, could you do the same regionally? Did all move forward? Or did we see China stepping back? And what really drove the uptake regionally as well?
Carla Geyseleer: Yes. So first of all, what is important to share that is that the uptake of the margin is really based on a big number of operations. So it is globally spread. So it's not a few that are fueling the uptake. It's really globally, you can say that the -- everybody is contributing to the uptake of the margin, I would say, with the exception clearly of China, which is anyway a bit of a different market now. So that's from a market perspective. Secondly, when you look at, okay, where is the efficiency really coming from? Well, our 4 building blocks, they are not new. They have been clearly communicated on a regular basis. So still in '25, the major impact is coming from supply chain and purchasing savings. That is number one, followed by the SG&A savings because there clearly, our restructuring plans are paying off and are yielding results and then followed by the efficiency in NI, MOD and EI. And obviously, they had quite a good basis already this, what I call operational efficiencies. In '25, we can really see them accelerating. And obviously, that will continue in '26 and that increment in that area will offset the less increment that will be generated in terms of the SG&A. So that is to give you a bit of flavor where it is coming from. Obviously, I referred already to pricing. Pricing was healthy outside of China. So that clearly has also a contribution. So that's, in a nutshell, how the bridge actually looks like between '24 and '25.
Operator: The next question comes from Martin Flueckiger from Kepler Cheuvreux.
Martin Flueckiger: Two questions. Firstly, I would just like to get back to the slides, I think the first one, yes, operational recovery completed, it's called, where you described the growth in your maintenance portfolio being mid-single digit in local currencies. Just wondering whether you could break that down in terms of units and pricing growth as well as also that more than 40% of equipment being cloud connected. I was just wondering how much of that is just connection without customers paying for it? Or put differently, how much of that more than 40% is actually paying clients? That's my first question. I'll come back with the second one.
Paolo Compagna: Yes. Without going now to which market has developed how, the mid-single-digit growth, Martin, on portfolio is actually well distributed everywhere. And I like in all [indiscernible] with may be a bit difference on China as always. As obviously, the big reduction in NI sales of the last year is hitting also the growth of the portfolio. But for the rest of the world, the development, especially in value was equally distributed. So I would not have any region or country to say, oh, there we did a big either pricing or whatever increase. So it's well distributed, and we are very happy about that. Then considering...
Martin Flueckiger: Sorry, I think there's a misunderstanding here. I was referring to the split between unit growth and pricing within that mid-single-digit growth rate in local currencies. It's not the geographic contributions I'm interested in. I'm more interested in the volume pricing effects there.
Paolo Compagna: No. Well, it's -- I think it's both low single digit -- it's low single-digit growth in both. So it's quite equal. So it's not that we have a significant unit growth with low value. I can say -- and this is maybe also important to understand that the portfolio growth came also with a quite equal price and value development. So it's both similar.
Martin Flueckiger: That's helpful. And with regards to the more than 40% connectivity, are all of these paying for connectivity or just a part? And if yes, what's that part?
Paolo Compagna: Well, difficult to say in detail which part it is. Then also the connectivity, I must say a larger part is contributing with a paid service, but by end, the level of paid services is very different country by country. So then if we have to say the number of the percentage of the connected units, how many do contribute, I would say the percentage is significant. The magnitude of the contribution of the connectivity is very different country by country.
Martin Flueckiger: Okay. That's very helpful. And then my second question would be on BuildingMinds. I think a topic we haven't touched upon in any of the quarterly calls for quite a while. Just wondering how happy are you with the developments? And how much longer are you going to invest into BuildingMinds? And what are the operational, let's say, improvements or developments that you have seen in connection with the start-up?
Paolo Compagna: Yes. So well, it's two questions in one. Let me summarize. BuildingMinds is now in the phase of scaling up the business model. As shared before, the platform has been completed and the team in BuildingMinds is now working on scaling up the business model, hence, in growing the business. The second part of the question, connectivity as a contributor. Connection to Schindler in the business, this is limited to some countries in which we have joined or shared customers. But on a broader base, this remains a separate entity.
Operator: Next question comes from Martin Husler from Zurcher Kantonalbank.
Martin Huesler: I also have two questions. First question, could you please share your ideas on M&A, maybe in terms of segments and regions? And up to what size would you consider M&A transactions?
Paolo Compagna: Yes, Martin, as Carla was sharing before, we were all the time looking at very selective bolt-on M&As. And here, I have to also add in some selected markets. What we like to do now more in '26 and beyond is to expand the number of markets we will be ready to invest. And coming to the size, well, a bolt-on acquisition can have different size, right? It depends of the target. So there might be no direct limit. However, for us, it was always important to identify targets in whatever specific country, which do fit to our organization. This is what made our M&A strategy in the past successful, and it is something we aim to keep in mind.
Martin Huesler: And then maybe the second one on cash returns to investors. Why do you flag an extraordinary dividend of CHF 0.80 and not just increased your dividend to CHF 6.80. Maybe can you also expect a new share buyback program after November '26?
Carla Geyseleer: Well, I mean, thank you, Martin. I very much appreciate the question. But if you allow me, I would like to give more insights on shareholder return policy and share buyback programs in the Capital Markets Day later on in the year.
Operator: The next question comes from Rizk Maidi from Jefferies.
Rizk Maidi: I'll keep them quite short. If I start with the order intake, I mean, I take the China drop and you're being quite selective. But even outside of China, it's quite a big difference versus what we've seen from some of your peers. I'm just wondering if you could just elaborate on the competitive dynamics around large projects and how competitive pricing is? And if you don't think you can get the returns expected on these large orders, then why perhaps some of your peers could actually take them on? I'll stop there.
Paolo Compagna: Well, we normally don't comment on what competitors take in. But let me explain what we have done in '25 and what we intend to do in '26. And this is a clear combination of reaction to markets, which, by the way, Carla was mentioning some of our key markets, let us also look at Europe. And you remember, I was quite concerned the last years when it came, by example, to Germany. Now we see also Germany coming to a more positive momentum. What does it mean? In terms of order intake, yes, it's clear, '25, we were selective. We were more selective in the range of the large projects, especially in countries, mainly China, where we were on top of it also reorganizing our structure. In terms of pricing development, here, I'd like to distinguish between these large projects and, let's say, the residential commercial day-to-day business, let's call it this way, in which we see in many markets, pricing opportunities coming up for '26, which will allow also to work more intensively on order intake without jeopardizing our commitment to margins. How much this will be possible to complete? The answer, when it comes to large projects, well, some large projects we do and we will continue to do. Would we accept everything which some of competitors might accept in there. This, I don't like to say we would do. However, all in all, I think the '25 order intake, yes, was very much driven by these 2 decisions and '26 without changing the strategy that much, we are quite confident that we can generate a higher OIT just also by, let's say, business outside of large projects.
Rizk Maidi: Understood. And then very quickly, a follow-up. Can you, Carla, maybe comment on the incremental savings in '25? So roughly ballpark, is it CHF 150 million to CHF 170 million. And same thing, if you could just quantify the mix impacts. I'm getting roughly to 40 to 60 basis points, just if you can comment on those.
Carla Geyseleer: I would say you're in the right direction, yes.
Operator: Next question comes from Vlad Sergievskii from Barclays.
Vladimir Sergievskiy: My first one would be on Modernization growth into '26. Obviously, you are building the delivery capabilities, and we see accelerating top line growth in MOD in Q4 already. As you continue to grow it in '26, would you expect MOD backlog to actually decline in '26 or the new demand will still be strong and MOD backlog will still grow? So that's my first question.
Paolo Compagna: Vlad, that's a very good question. So first, your assumption should be right. We intend to further grow in Modernization, OIT, but also top line, it means revenue. So hence, we are working to also expand our execution capabilities. Will the backlog continue to grow? Well, I think a little backlog growth should be there, but this will depend very much of how much we can accelerate execution. So therefore, both assumptions are right. Yes, we continue to grow. Yes, we expect higher top line contribution from modernization and maybe a slightly backlog growth, too, as we expand also the execution capability.
Vladimir Sergievskiy: Okay. That's very clear. The second one is a very quick one. How do you see the bridge between adjusted EBIT and reported EBIT in 2026? You mentioned CHF 60 million of restructuring costs. Is there anything else in this bridge?
Carla Geyseleer: Yes. Well, I mean, it's very restricted to the restructuring costs and the BuildingMinds. And obviously, BuildingMinds has become, I mean, less of a drag also compared to 2025. So yes, there are only duty elements, and I would like to keep it like that. You remember that a couple of years ago, we said, look, I mean, if it's recurring cost, it needs to go into the pure operational, and we like to keep the adjustments to a minimum.
Lars Wauvert Brorson: We will take one final question, operator, please.
Operator: The last question for today comes from Aron Ceccarelli, Bank of America.
Aron Ceccarelli: My first one is on cost savings. You've clearly done a remarkable job over the last 3 years on executing on these efficiencies. If I take your slide of EBIT bridge for 2025, could you perhaps strip out the numbers of cost savings out of this CHF 163 million operational improvement, please? And when you look at 2026, you talked about operational efficiency to basically be the same ballpark of what you deliver on procurement. Can you maybe talk a little bit about in the real world, what are you accelerating there? That would be my first question.
Carla Geyseleer: Yes. Thank you for the question. So in '25, I mean, a major part from these operational improvements are coming from what we call the SG&A savings and the supply and procurement savings. So these are the 2, I would say, major ones because they matured already these initiatives and obviously, they yielded very, very well. It doesn't mean, of course, that there were, of course, also efficiency savings in the operation, as I just mentioned before, in the New Installation and in the Modernization, and obviously, they will accelerate in '26. So overall, when we talk about these savings, we aim to go for a similar level in '26 than what we have seen in '25. However, the composition is slightly different.
Aron Ceccarelli: And if I look at the CHF 163 million, is it fair to assume that 50% of those kind were savings? Or is it less -- just to have a rough idea?
Carla Geyseleer: Yes, yes, absolutely. Yes, I confirm that, yes.
Aron Ceccarelli: Around 50%, okay. And my second question is on China. You changed management, I think, at the end of the first half. Clearly, we saw a deterioration on orders and sales there in a tough market. Perhaps could you talk a little bit on real world, what are you guys doing now there? And where are we in the process of the restructuring, please?
Paolo Compagna: Yes. The restructuring we have announced last year has been executed, and it consisted in a reset of the leadership team, which has been done. So this was done in the second half of last year, and it has been completed as well as a reorganization of the branches, which has been executed to a large extent last year. So actually, the restructuring we have announced in Q3 last year has been executed in Q4 with some minor actions still to come now in Q1. So hence, we expect in the course of this year,to see first impacts coming out of those actions.
Operator: Yes, ladies and gentlemen, that was the last question. Back over to you, Lars Brorson for any closing remarks.
Lars Wauvert Brorson: Thank you very much, operator. Thank you all for attending today's call. Please feel free to reach out to me and the IR team for any follow-ups you might have. I know there are a couple of follow-up questions in the queue. So please do reach out. The next scheduled event is our presentation of the Q1 results on April 23. You'll also find our reporting calendar for 2026 at the end of today's presentation deck. So with that, thank you very much, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.